Operator: Good morning. My name is Anna, and I will be your conference facilitator today for the BlackRock Capital Investment Corporation Fourth Quarter and Full Year 2022 Earnings Call. Hosting the call will be James Keenan, Chairman and Interim Chief Executive Officer; Nik Singhal, President; Chip Holladay, Interim Chief Financial Officer and Treasurer; Laurence D. Paredes, General Counsel and Corporate Secretary; Jason Mehring, Managing Director and member of the company’s Investment Committee. All lines have been placed on mute. After the speakers’ complete their update they will open the line for a question-and-answer session. [Operator Instructions] Thank you. Mr. Paredes, you may begin the conference call.
Laurence Paredes: Good morning. And welcome to the fourth quarter and full year 2022 earnings conference call of BlackRock Capital Investment Corporation or BCIC. Before we begin our remarks today, I would like to point out that certain comments made during this conference call and within corresponding documents contain forward-looking statements subject to risks and uncertainties. Many of these forward-looking statements can be identified by the use of words such as anticipates, believes, expects, intends, will, should, may and similar expressions. We call your attention to the fact that BCIC’s actual results may differ from these statements. As you know, BCIC has filed with the SEC reports, which lists some of the factors which may cause BCIC’s results to differ materially from these statements. BCIC assumes no duty to and does not undertake to update any forward-looking statements. Additionally, certain information discussed and presented may have been derived from third-party sources and has not been independently verified. Accordingly, BCIC makes no representation or warranty with respect to such information. Please note, we have posted to our website an investor presentation that complements this call. Shortly, Jim will highlight some of the information contained in the presentation. The presentation can be accessed by going to our website at www.blackrockbkcc.com and clicking the March 2023 Investor Presentation link in the Presentations section of the Investors page. I would now like to turn the call over to Jim.
James Keenan: Thank you, Larry. Good morning. And thanks to all of you for joining our fourth quarter and full year 2022 earnings call. I will provide an overview of our performance and highlights for the quarter and year. Nik will then give an update on our portfolio activity and status. And Chip will then discuss our financial results in more detail. Afterwards, we will open the call to questions. Our strong results in the quarter and throughout the year directly reflected our successful efforts to build a highly diversified portfolio, while concentrating on first-lien debt investments with meaningful momentum into 2023. We are well positioned to pursue selective growth to further enhance our earnings power and deliver solid risk adjusted returns. Our portfolio continues to benefit from a rising interest rate environment, with 99% of our debt investments consisting of floating rate debt at the close of the year. With first-lien positions in the vast majority of our investments, we have the benefit of downside protection during a deteriorating economic environment. Given recent changes in market dynamics, shifting toward a more lender-friendly environment, we are able to structure new loans with improved pricing, tighter terms and lower leverage. We believe this market shift reflects a more appropriate risk reward proposition in an uncertain environment. Higher LIBOR and SOFR rates, as well as improved pricing in the fourth quarter contributed to a 6% sequential increase in NII over the prior quarter and a 36% increase over NII earned in the fourth quarter of 2021. I am pleased that our NII covered our dividend of $0.10 by 112% this quarter. Our net leverage for the fourth quarter increased to 0.77 times from 0.71 times for the prior quarter, driven by $36 million of gross deployments, nearly all in first-lien loans, coupled with a decrease in valuations across our portfolio. During the quarter, we added eight new portfolio companies and now have a record of 116 portfolio companies, up from 86 at the end of 2021 and 55 at the end of 2020. This represents a tremendous progress towards our goal of diversifying the portfolio over the last two years. Our current leverage leaves us plenty of leeway to further grow the portfolio as we draw upon both the breadth of our team’s expertise and the power of the BlackRock platform to identify and prudently evaluate compelling investment opportunities with an emphasis on seniority in the capital stack. First-lien investments now make up 79% of our portfolio, the highest level in our history. This far exceeds the 50% reported at the end of 2020 and marks another important measure of the advances we have made in just a few years. Junior capital investments now comprise only 5% of our portfolio, down from 23% at the end of 2020. While we grow, we remain focused on conservative underwriting and committed to our strong credit culture. Our solid credit quality reflects this, punctuated by the fact that we had no new non-accrual investments in the fourth quarter. While the U.S. job market remains resilient and there are early signs of inflation easing from the highs of last year. We are mindful that periods of rising interest rates have historically resulted in slower economic growth or contraction, creating tighter financial conditions for borrowers. We continue to carefully track the impact of inflation, as well as rising interest rates on our borrowers. We believe that the prevalence of first-lien loans in our portfolio, as well as high quality of ownership support in our portfolio companies help us to be well positioned defensively in an economic downturn. We communicate regularly with our portfolio companies to assess their financial health and outlook, and we are well equipped with the experience and resources to proactively engage with the management teams in the event of emerging challenges. For now, our investments are performing well and credit quality remains strong. We are confident in our ability to succeed across economic cycles, while generating improved profitability on behalf of our shareholders. I will now turn the call over to Nik to discuss our portfolio activity in further detail.
Nik Singhal: Thanks, Jim. We again made good headway this quarter, growing the portfolio and increasing our core earnings power. We provided capital to eight new and seven existing portfolio companies, approximately 29% of fourth quarter investment dollars went into existing relationships. Follow-on investments in existing portfolio companies continue to be an important source of opportunities for us. Fourth quarter investments in new portfolio companies were almost entirely in first-lien loans, consistent with our strategy of maintaining a lower risk profile, especially as we enter uncertain economic times. Exits and repayments during the quarter were $28 million. This included full exits of our debt investments in Bari Financial, UniNet and MetroNet Systems. In each case, we realized principal at par along with the full contractual return with an aggregate realized IRR of 10.3% over the holding period across these three names. With respect to our current investment activity, we are seeing a steady flow of opportunities across both new and existing names, but we remain very selective on what we invest in. Since the end of the fourth quarter, our investment committee has approved transactions of $31 million that either closed subsequent to the fourth quarter or are pending close, although there can be no assurances that all such transactions will close. Our three largest new portfolio company investments in the fourth quarter include, a $5.2 million SOFR plus 6.5% first-lien term loan and $5.2 million unfunded revolver to Integrity Marketing Acquisition, an independent marketer and distributor of life and health insurance products. While Integrity Marketing is a new addition to the company’s portfolio, our investment committee has had a longstanding familiarity with this name. Favorable pricing conditions in the current market made this an attractive investment for the company. A $5.2 million SOFR plus 6.5% first-lien term loan and $1.3 million unfunded term loan and revolver to Zendesk, Inc., a provider of customer support solutions. And a $5 million SOFR plus 7% first-lien term loan and $0.4 million unfunded revolver to Madison Logic Holdings, Inc., a business-to-business marketing services provider. Our NAV per share declined by 3.7% in the fourth quarter, driven by credit spread widening across the broader market and other portfolio valuation declines. As previously mentioned, we had no new non-accruals during the fourth quarter. Subsequent to the fourth quarter, we exited and realized two non-core investments. One of these was Advanced Lighting, which was previously a non-accrual asset. The other was Kemmerer Operations, on a pro forma basis, following the exit of these two names, our non-core fair market value is now down to less than 1% of the total portfolio. We are happy to achieve more than full coverage of our dividend even without including one-time fee income, we still have room to grow towards our target leverage range. While we are seeing the opportunities that become more attractive in this market, we continue to remain disciplined and true to our time tested investment approach. I will now turn the call over to Chip to further discuss our financial results for the quarter.
Chip Holladay: Thank you, Nik. I will now take a few minutes to review some additional BCIC financial results for the fourth quarter. GAAP net investment income was $8.1 million or approximately $0.11 per share for the fourth quarter, an increase of 6% from the third quarter and up 36% from the fourth quarter of 2021. NII provided fourth quarter dividend coverage of 112%, compared to 105% dividend coverage in the third quarter and up substantially from 80% coverage in the fourth quarter of 2021. Our gross investment income was $17.5 million for the fourth quarter, an increase of 9% from the prior quarter and up 39% from gross income earned in the fourth quarter of 2021. Excluding one-time fees, our gross investment income grew approximately 16% for the current quarter as compared to the third quarter. Excluding the impact of accrued capital gains incentive fee, our adjusted net investment income for 2022 of $27.8 million increased by approximately 30% from adjusted NII earned in 2021. The increase was driven primarily by a higher interest rate environment and net deployments of approximately $39 million over the course of 2022, including $8 million in the fourth quarter. The company’s weighted average portfolio yield based on fair value increased to 11.9% as of December 31st, up from 10.5% as of the prior quarter end and improved from 8.5% as of the end of 2021. Total net expenses for the fourth quarter increased by approximately $1 million from the third quarter, primarily driven by an increase in interest and other borrowing costs, due to an uptick in our average outstanding debt balance quarter-over-quarter, and an increase in LIBOR and SOFR rates. Net unrealized losses were $13.2 million for the quarter driven by credit spread widening across the broader market and other portfolio valuation declines. There were no realized gains or losses in the fourth quarter. Year end the portfolio had three non-accrual investments, representing 2.8% of our portfolio’s total fair value, an improvement from 3.3% as of the September quarter end and down from 4.1% at the end of 2021. There were no new non-accrual investments during the fourth quarter. In the first quarter of 2023, we completed the sale of our non-accrual debt position in Advanced Lighting, further reducing the number of nonaccrual investment positions in the portfolio to just two. Our weighted average internal portfolio rating at fair value declined slightly to 1.33, compared to 1.28 at the prior quarter end and 1.21 as of December 31, 2021. At year end, total available liquidity for deployment and general operating use was approximately $112.5 million, including cash on hand and subject to leverage and borrowing base restrictions. Our net leverage ratio was 0.77 times, up from 0.71 times at the end of the prior quarter. During the fourth quarter, we repurchased approximately 318,000 shares of our stock for $1.2 million at an average price of $3.62 per share, including brokerage commissions. As announced yesterday, we declared a quarterly dividend of $0.10 per share payable on April 6, 2023 to shareholders of record at the close of business on March 16, 2023. With that, I would like to turn the call back to Jim.
James Keenan: Thank you, Chip. In closing, we remain committed to conservative underwriting, portfolio diversity and disciplined growth in order to produce reliable income, NAV stability and solid results for our shareholders. We thank our shareholders for their continued support. With that, we would now like to open the call for questions.
Operator: [Operator Instructions]
 :
 :
Operator: And it appears there are no telephone questions. So that will conclude today’s conference call. We thank you all for your participation. You may now disconnect.